Operator: Good day, and welcome to the Cineplex Inc’s Fourth Quarter and Year-End Conference Call. Today’s conference is being recorded. At this time, I would like to turn the presentation over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead, Ms. Marshall.
Pat Marshall: Good morning. Before beginning the call, we would like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management’s beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include among other things, adverse factors generally encountered in the film-exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I’ll now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex Inc’s fourth quarter and year end 2014 conference call. We appreciate you joining us today. I’ll begin the call this morning by providing a topline overview of our fourth quarter and full-year results followed by a summary of our key accomplishments during the fourth quarter and then we will take a look at the upcoming film slate. Following this, our Chief Financial Officer, Gord Nelson will provide more specific details on our financials. Once Gord has concluded his remarks, we will hold a question-and-answer period. The fourth quarter of 2014 set new all-time records for total revenues up 2.8% and adjusted EBITDA up 15.7% primarily due to higher Media and Food Service revenues. On a full-year basis total revenue increased 5.4% and adjusted EBITDA remained relatively flat compared to last year. This was primarily due to the incremental contributions from our theatre and media acquisitions more than offsetting the impact of a softer box office. The weaker film product and a number of titles shifting to 2015 created a challenging year for the exhibition industry. Looking at overall industry results, Cineplex outperformed the Canadian industry with the Cineplex same-store box office revenues decreasing 4.5% for the quarter compared to an industry decrease of 5.7%. On a full-year basis, Cineplex experience a same-store box office decrease of 5.2% compared to the industry decrease of 7.1%. Our number one film for the year were Guardians of the Galaxy. Other box office successes in the top five of 2014 included The Lego Movie, The Hunger Games, Captain America and The Hobbit. Although the 2014 box office was softer than we had hoped, Cineplex continued to perform well in many other areas of the business, thanks in part to our diversification strategy. Now I’d like to highlight a number of our key accomplishments in the fourth quarter. In merchandising, we experienced a record quarter as revenues increased 4.8% and CPP reached CAD$5.14 setting a new all-time quarterly high. We also added four XSCAPE Entertainment Centers. These have done very well overall and as I have mentioned before gaming is a key part of our growth strategy. I’ll touch on that again later in the call. In Media, we continued to show strong gains with all Media businesses contributing to the fourth quarter’s 19.5% revenue growth. Cineplex Media revenues grew by 9.6% during the quarter driven by growth in showtime revenue and new media initiatives. Our top three advertising categories for the quarter remained the same as in previous years with wireless cellphone number one, followed by auto and entertainment media. We continue to install Interactive Media Zones in selected theatre lobbies, adding 10 new locations in the fourth quarter. As of December 31, 2014, we had a total of 13 Interactive Media Zones installed and completed a number of successful client campaigns. Throughout the first half of 2015, we’ll continue to add Interactive Media Zones to our theatre lobbies. We're also pleased to advise that Cineplex Magazine was recently named the fifth most read Canadian magazine according to the Print Measurement Bureau’s fall 2014 report. Also within the quarter, we completed the national rollout of the TimePlay to a total of 731 screens located coast to coast. Digital Media Revenue grew by 40.8% in the quarter. The Tims TV rollout was officially completed in October and it is now showing at more than 2200 stores. This installation has provided a steady increase in revenue since its launch in June 2014. Phase 1 of the Oxford Properties place-based digital ecosystem installation is now complete featuring large video walls and directories within 10 of the leading shopping centers in Canada. We’ll continue to add installations and functionality to these properties in 2015. Alternative Programming had a strong fourth quarter with revenues up double digits over the fourth quarter of 2013. Highlights for the quarter included the always popular Met Opera series, which was up significantly versus the same period last year. Our Concert Series which featured One Direction also generated impressive results. We also experienced notable growth within our ethnic programming, especially from the Filipino, Korean, Chinese, Hindi and Punjabi markets, with two Bollywood movies grossing over CAD$1 million each in our theatres. Moving onto SCENE, membership in Canada’s largest entertainment loyalty program increased by more than 200,000 this quarter and surpassed the 6.3 million member mark as of December 31, 2014. Also during the quarter SCENE announced its first major long-term retail partnership with Sport Chek. This program enables SCENE members to earn and redeem points on purchases made at more than 180 Sport Chek locations across Canada. Yesterday SCENE announced a new marketing partnership with CARA Operations Limited. As the program’s exclusive restaurant partner, SCENE members will be able to earn and redeem points at all 813 CARA restaurants, including Swiss Chalet, Harvey's, Milestones, Montana's, Kelsey's, East Side Mario's and all of the other brands beginning this summer. The addition of CARA is a milestone achievement for SCENE and Cineplex. It is a great fit for our business, both in terms of proximity to our theatres and the opportunity for guests to enjoy a great night out combining dinner and a movie. We also made strong strategic advancements in our Digital Commerce business during the fourth quarter and launched a French language equivalent to the Cineplex Store called Boutique Cineplex. We're pleased with the progress we’ve made with the Cineplex Store, and will continue to add functionality enhancements and new devices in the months ahead. Our focus in 2015 will be continued platform expansion and revenue growth. The Cineplex App has been downloaded 11 million times. Our mobile brand now ranks ninth in Canada amongst the top 20 mobile brands reaching 17.5% of the Canadian mobile audience. Subsequent to the quarter end, we announced plans to develop our new entertainment concept, The Rec Room. The Rec Room will feature a number of entertainment and dining options including state-of-the-art simulation games and redemption gaming for prizes. There will also be an auditorium-style venue to watch performances and a wide range of other entertainment. The upscale casual dining restaurant will feature an open kitchen and a contemporary menu including everyone's favorites. The last component of The Rec Room will include an impressive square-shaped center bar which will showcase a number of digital monitors and a features screen above the bar. It will serve as a gathering place for watching the big game or other major events. The components of this concept capitalize on both our operating expertise and the infrastructure we already have in place. The culmination of all of these elements will position The Rec Room as the ultimate social playground. Our first location is planned to open later this year at South Edmonton Common, adjacent to one of our more successful theatre, Cineplex Odeon South Edmonton Cinemas. Looking forward, we believe there’s an opportunity to open 10-15 locations across the country over the next three to four years. Before I conclude my remarks, let’s take a look at the film slate for the first of the year. Like many others in the industry we're encouraged by what appears to be a very strong film slate for 2015. In fact most predict that 2015 will be the biggest year in box office history. Highlights for the first quarter include Fifty Shades of Grey which opens this Friday and has generated very impressive advance ticket sales to date and a large number of group bookings for Cineplex. We’re virtually sold out in all of our VIP auditoriums for the weekend. Kingsman: The Secret Service, Disney's Cinderella, the second film within the Divergent series, Insurgent and The Second Best Exotic Marigold Hotel fill out the remainder of the quarter amongst others. Looking to the second quarter, we’ve Fast & Furious 7, The Avengers: Age of Ultron in 3-D, Tomorrowland with George Clooney, Jurassic World, Inside Out the new Pixar film, and Ted 2 are all on the slate for this summer. In closing, I am encouraged by what appears to be a very strong film slate for 2015, and excited about the strategic opportunities scheduled to unfold throughout the year, including growth in our medium business and The Rec Room. Opportunities such as these enable us to achieve meaningful growth and to provide continued value to our shareholders as we move into 2015 and beyond. Now I’ll turn the call over to Gord, who will go into the financials in greater detail.
Gord Nelson: Thanks, Ellis. I'm pleased to present the fourth quarter and full-year financial results for Cineplex Inc. For your further reference, our financial statements and MD&A have been filed on SEDAR this morning, and are also available on our Investor Relations website at cineplex.com. For the fourth-quarter total revenues increased 2.8% to CAD$332.2 million and adjusted EBITDA increased 15.7% to CAD$62.6 million. The results for the quarter were positively impacted by the record CPP of CAD$5.14, Media Revenue growth of 19.5% and the full-period contribution of the 24 Atlantic theatres acquired in October 2013. These positive impacts were partially offset by weaker film products during the quarter as the Canadian industry experienced a 5.7% box office decline, and Cineplex experienced a 4.5% same-store decline. Cineplex’s fourth-quarter box office revenue decreased 2.9% to a CAD$172.5 million from a CAD$177.7 million in the prior year. New and acquired theatres added CAD$2.8 million to box office revenues partially offsetting the same-store decrease. Our average ticket price for the quarter decreased to CAD$9.06, a decrease of 3.8% from the CAD$9.42 reported in the fourth quarter of 2013 as a result of a reduction in the contribution of 3-D film titles. Only two of our top five films in 2014 were 3-D titles as compared to four of the top five in 2013. As a result our Premium product percentage decreased to 29.4% of box office revenue in 2014 from 40.3% in 2013. The impact of Premium price product on the average ticket price was CAD$0.67 for this quarter as compared to CAD$0.90 in the prior year. Excluding Premium product, our average ticket price decreased by 1.5% as compared to the prior-year quarter to CAD$8.39. Food Service revenue increased 4.8% to CAD$97.8 million as a result of the 4% increase in the concession revenue per patron to CAD$5.14, a quarterly record. The CPP growth was primarily a result of higher average transaction values as a result of expanded offerings and a higher visitation percentage. Total Media revenue increased CAD$7.7 million or 19.5% to CAD$46.9 million for the quarter. Cineplex Media revenue, which is primarily theatre based increased 9.6%, and Cineplex Digital Media revenue increased 40.8% due to continued growth of new business opportunities, including the Tims TV network deployment and the Oxford Properties Group digital installations. These new business deployments will provide opportunities for continued revenue growth in the future. Turning briefly to our key expense line items. Film costs for the quarter came in at 51.4% of box office revenue as compared to 51.7% reported in the prior year. Cost of food service for Q4 2014 was 22.1% of food service revenue as compared to 21.3% in the prior year. Other costs of CAD$160.3 million increased CAD$2.3 million or 1.4%. Other costs include theatre occupancy expenses, other operating expenses and general and administrative expenses. Theatre occupancy expenses were CAD$50.1 million for the quarter versus a prior year actual of CAD$48.7 million, an increase of CAD$1.4 million, primarily due to an incremental CAD$1.3 million related to new and acquired theatres. Other operating expenses were CAD$94.4 million for the quarter versus a prior-year actual of CAD$91.4 million, an increase of CAD$3 million. Major reasons for the increase include the impact of new and acquired theatres, and increased media costs related to the media revenue growth. G&A expenses were CAD$15.8 million for the quarter which was CAD$2.2 million lower than the prior-year, primarily due to a CAD$2.3 million decrease in long-term and short-term incentive program expenses resulting from the variance in performance results for the 2014 period. Interest expense of CAD$5.7 million was CAD$0.9 million higher than the prior year amount of CAD$4.8 million. Contributing to the increase was a CAD$0.4 million increase in cash interest as a result of the higher debt balance due to the acquisition of the Empire Theatres. The company recorded tax expense of CAD$4.2 million during the fourth quarter of 2014, of which CAD$8.2 million was current tax expense offset by a CAD$4 million deferred tax recovery. Our blended federal and provincial statutory tax rate currently is 26.3%. The losses acquired on the AMC acquisition were fully utilized in 2014. Net CapEx for the fourth quarter was CAD$21.2 million, as compared to CAD$15.3 million in the prior year. The increase was primarily due to our continued investment in new theatres and premium concepts including VIP and investments in digital media projects of approximately CAD$6 million including the previously mentioned Tims TV Network and the Oxford Digital systems. Net CapEx was CAD$102 million for 2014 and we continue to estimate that next CapEx will be approximately CAD$100 million for 2015. CapEx for 2015 will include the rollout of The Rec Room, the continued rollout of premium offerings, new theatre construction and digital signage and media initiatives. While the weaker film slate negatively impacted our fourth-quarter results, successes in our Food Service and Media businesses contributed to our record Q4 results. We continue to remain comfortable with where Cineplex Inc is positioned today. Our strong balance sheet and low leverage ratios allow us to continue to invest in future growth for the company and benefit from future stronger film product. That conclude our remarks for this morning, and we now would like to turn the call over to the conference operator for questions.
Question-and:
Operator: Your first question today will come from Adam Shine with National Bank Financial. Please go ahead.
Adam Shine: I’ve got a few questions. I guess Ellis, you know you highlighted improvements in Alternative Programming. But the sort of the outperformance of Cineplex at the box office revenue line versus industry growth wasn’t quite what it was in the past two Q4s. So is that primarily simply due to you know the lesser 3-D offering or was there something else worth noting?
Ellis Jacob: Yeah, it’s a large result of the lesser 3-D offering. And when you look at 2013, we had a move like Gravity and Frozen that we performed extremely well in 3-D, UltraAVX and IMAX. So those you know caused the differences between the two years and the quarter.
Adam Shine: Okay, and I guess going in a different direction sort of almost conversely with respect to concessions, you know we saw a significant growth you know materially you know outpacing in terms of a gap whatever transpired on the box office. So, can you speak to you know some of the drivers there of the outperformance?
Ellis Jacob: When you look at it, I think you are getting a better mix with our VIP theatres that we’ve added and extremely increased visitations at the concessions as a result all of the new programs that we implemented.
Adam Shine: And so when I look at the incremental results in terms of the extra contributions from Empire, where remarkably concessions exceeded box office. Is that a similar dynamic or was there something else at play?
Ellis Jacob: No in Empire, you know we did introduce some of our programs and the SCENE loyalty card on the combos. And the Empire theatres’ average CPP were higher that our CPP overall and it contributed to our overall CPP growth.
Adam Shine: Okay, maybe one quick one for Gord. Just as it relates to Empire, the implied margin at least what I get is 22%, which is about 300 bps lower than what we would have seen in the prior two quarters. I am curious if it was really just related to box office pressure or whether you know there was additional spending that might have ensued in the period?
Gord Nelson: Yeah listen, I think you know in terms of the results for the Empire Theatres, we're going to look actually on a full-year basis. You know as we mentioned in the first quarter, you know the box office results in particular were adversely impacted by the weather out there. You know the Canadian industry was down about 7% for the year. Our Empire Theatres were down about 11%, so significantly impacted particularly by weather. We're encouraged by the fact that you know when we did make the acquisition and we gave pro forma estimates, we felt that the synergies from the transaction were primarily going to be revenue-based synergies coming from media and other sources of revenue. And we are happy to say that you know prior to us acquiring those locations, approximately 3% of other total revenue came from other revenue sources. And in 2014 approximately 6% came from other revenue sources, so and that was in essence our target. So unfortunately you know the weather caused a little bit of an issue with respect to the film performance and adversely impacted the overall margin. But we are very encouraged by what we’ve done there to date.
Operator: Thank you. Your next question will come from Kenric Tyghe with Raymond James. Please go ahead.
Kenric Tyghe: Ellis, just with respect to, we’ve had a very strong start to the slate in the first quarter and that is the toughest comp on the year. Could you sort of speak to your confidence or conviction with respect specifically to the second quarter? I mean it is heavily weighted in terms of The Avengers and Fast & Furious and certainly a loaded slate. Could you provide some color there as to your comfort and read through on this second quarter in particular just with respect to what we are seeing as the projected you know opening weekends for those titles?
Ellis Jacob: See I think you know given the situation as it relates to Fast & Furious, I think we're going to have a good jump to the second quarter. It opens on April, the 3rd. Then you’ve got Avengers on May the 1st which to me I think will be another big opening movie in 3-D. You’ve got Mad Max on May 15th. You’ve got Pitch Perfect 2, Tomorrowland, Jurassic world, Inside Out, the new Pixar title. You’ve got Ted 2. So there’s a lot of strong movies in the second quarter. So I think it's going to be a strong second quarter from a box office perspective and that continues into the third quarter and the full year. And I am very encouraged like I said earlier in the call, this coming weekend could be talking about the first quarter, one of the biggest opening weekends in February.
Kenric Tyghe: Certainly tracking nicely on the quarter and yeah, the weekend looking good. If I could switch gears quickly, Ellis just to your announcement on the marketing partnership with CARA. Is it a stretch to read into that by the way of a decision on your restaurant operator for The Rec Room and should we not be assuming that you would be looking to CARA as your restaurant operator when The Rec Room is up and running. And just take it at face value for now, or how should we think about the CARA announcement beyond just the strategic marketing partnership?
Ellis Jacob: No CARA is basically a SCENE strategic marketing partnership. I don't think you should read into it that they are going to be a partner as it relates to The Rec Room.
Operator: Thank you. Your next question will come from Paul Steep with Scotia Bank. Please go ahead.
Paul Steep: I guess on SCENE, Ellis and Gord, maybe you could talk a little bit about where you see the plan now. It looks like at a pretty good inflection point at 6.3 million members. Any changes or thoughts? I think there has been very little change to the plan, if I'm not mistaken since literally Inception in terms of earning and redeeming points beyond adding new partners. Where are you at maybe as a milestone on that front?
Ellis Jacob: Well as you’ve seen we just signed up two very substantial partners in Sport Chek and CARA and we’ll continue to look at you know additional, you know special promotions with one-off partners. And we continue to evaluate the SCENE program as we change our theatre mixes with VIPs and some of the other opportunities we have within the theatres like D-BOX and UltraAVX. So we continue to evaluate the program to make sure it’s meeting our guest expectations, but also being fair for the guests as it relates to the overall earn and burn within the theatre.
Paul Steep: Okay if we shift to media for a second. Ellis, you provided some comments around CDM. I just missed the last bit, but it sounded like I believe you were talking for the quarter that the core categories remained largely unchanged in terms of sort of their pecking order as it were. Is that right, I guess as a first quick one?
Ellis Jacob: Yeah, that's on the cinema, theatre, media. Yes, the categories that we talked about are the same. The doubtful is you know the usual three categories.
Paul Steep: Exactly. And I guess the last one from me would -- it would be more for Gord on this side. Within CDN and CDS, like with CDN, how should we think about the growth rate in that business going forward? And then in CDS, how should we think about what you reported in the quarter in terms of recurring sort of the one-time install and setup of the new networks versus recurring?
Gord Nelson: Yeah, you know we’ve always kind of gone back to the comment about sort of the pre-acquisition of CDN when you know the combined businesses generated about CAD$40 million worth of revenue. And that you know our expectations, we can double that kind of in a two-year period. And you know I think you saw some, you know significant growth in the fourth quarter. You know as primarily related to the Tims and the Oxford rollouts. And you know these initiatives are longer-term initiatives, including recurring and some you know equipment-based revenues. But those revenues will have lower margins. So I think when you look forward, if you take you know our view about of where we expected the business to go on a pro forma basis, you will see continued significant growth throughout 2015.
Operator: Thank you. Your next question will come from Aravinda Galappatthige with Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Let me just start off from where you stopped off in the digital signage side of the business. Obviously you’re seeing good growth in Canada, can you maybe talk to what the potential is in the US and what the timeline is? I know you talked about doubling the business here in Canada. What are the prospects of maybe getting traction in the US and sort of what would sort of be the timeline there?
Gord Nelson: Well, I think we’ve always said in this business, there is a real long lead time in terms of the sales process. So when we’ve mentioned that we’ve now opened an office in the US you know to build upon our expertise developed in Canada. We do have some pilots in place in the US and you know hopefully those will move into something else. But you know as I mentioned, you know we’ve got some great clients in Canada that will provide you know strong references about the expertise and you know to build our business in the US. So you know it’s a long, long lead time for the sales process and you know if something unfolds, you know we’ll obviously let you guys know.
Aravinda Galappatthige: Great and then maybe a question for Ellis on with respect to UltraAVX. Can you just remind me of what in your view at this point is that of the capacity for UltraAVX, you are at 66 now? And can you just maybe talk to the trends and returns that you’ve been seeing as you roll that out? I mean are you seeing sort of the returns grow as sort of the brand advantage builds, or you maybe start, as you get to sort of the 66, I mean are you at a point maybe you are starting to see some dilution. Just wanted to get your thoughts on that?
Ellis Jacob: Well we think there’s room for at least another 10-15 and as you know we’ve actually put some dual AVXs in our some of our larger theatres, because especially on a weekend like this when you’ve got Fifty Shades of Grey and the Kingsman, you want to have the ability to play both movies in the UltraAVX. So I think 80-80, you know 80 would quite of a number that we would be aiming towards. And we haven’t really seen a dilution as a result of opening these UltraAVX because we're providing a fantastic experience. And we’ve got the best sound system in the world. We’ve got screens that are larger than most of the other screens around. And seating, with the reserve seating provides an excellent experience for our guests. And we made a commitment to spend the money to make it that way and it's proven that the guests really love that experience. And looking at Fifty Shades of Grey when you look at the pre-sales those are the units that sell out the fastest.
Aravinda Galappatthige: And then lastly for me, I guess sort of switch back to Gord. I was just curious, the other revenues obviously the other category, the other revenues did grow rather materially, 17% to CAD$13.2 million. I was wondering if the Cineplex Digital Store had something to do with that. Because I know that you’ve been sort of ramping up operations there?
Gord Nelson: You know, there’s a number of different items that are comprised and that accumulate into that total. And I would say, you know the Cineplex Store has an impact, but I would say it’s not the most significant impact in that category.
Operator: Thank you. Your next question will come from Rob Goff with Euro Pacific. Please go ahead.
Rob Goff: My question will be on the digital commerce category. Could you talk to your efforts there to you know accelerate the growth? Is it a matter of time or partnerships or studios, what are your thoughts?
Ellis Jacob: We continue to you know build that business. We’ve just hired a Senior Vice President and one that has very strong relationships with the studios. That happened a couple of months ago and we see this business continue to grow and evolve with the connection to SuperTicket and some of the other things we're doing. Again, you know it’s not a process where it happens overnight and we’ve to use our other assets like SCENE to basically you know communicate and coordinate with those specific guests. So we see it you know continuing to evolve, and our philosophy still is you know in the movie space to basically own that guest.
Operator: Thank you. Your next question will come from Tim Casey with BMO. Please go ahead.
Tim Casey: Thanks, a couple of questions. One, Gord on the quarter obviously a nice margin lift. Were there any one-timers in there or is that just growing contributions from non-theatre businesses, and any thoughts on implications for going forward with respect to margin? And secondly on SCENE, back to it just as the scale is growing there Ellis, should we think about that as a meaningful financial contributor? Or should we still think about it as more of a strategic asset that helps you drive other businesses obviously like concessions and the digital store and what not?
Gord Nelson: So I’ll take the margin one first. So Tim, I think as you see in the fourth quarter results, you know the average ticket price was down year-over-year. And so the majority of the growth at the topline came from the Food Service business and the Media business. And so both of those you know are higher incremental contributors than the box office. So what you are seeing is really the impact of you know the revenues shift to higher margin -- higher incremental contribution areas of the business.
Ellis Jacob: And on SCENE, you know when you look at SCENE from an initial start-up of SCENE, I guess 7.5 years ago, we basically focus on using SCENE to create incidence and use it as a strategic tool. Now we’ve got two great partners into the program. And also it’s hugely beneficial when we developed The Rec Room and also our Cineplex Digital business. So it’s a huge contributor overall to our business and that's what it is today, what will happen a number of years from now. You know that's a decision which will have to evolve and to where we take it into the future.
Operator: Thank you. Your next question will come from Kevin Lee with Stifel. Please go ahead.
Kevin Lee: Just another follow-up on call it the media side, the Cineplex media theatre-based revenues. Can you kind of give us a sense of how 1Q ‘15 is pacing compared to the prior year quarter?
Ellis Jacob: For 2015 on the media side so far we’ve been seeing very strong you know uptake. But however it’s early in the year to know how the full year is going to look. But the first quarter looks quite good.
Kevin Lee: And then one quick one. Call it with gas prices coming down and interest rates also coming down, the consumers you know theoretically has more money in their pocket. Historically, have you seen, call it any attendance uplifts in periods like this?
Gord Nelson: You know, I think you know what we’ve really shown is you know, the industry itself is relatively resistant to general economic trends. And you know the key driver is going to be quality of the film product.
Operator: Thank you. Your next question will come from Rob Peters with Credit Suisse. Please go ahead.
Rob Peters: I was just wondering if you could touch base a little bit on the concession per patron trends? I mean they've been obviously continuing to improve year-over-year. And some of that has been, I think as you highlighted contribution from Empire. But just going -- looking forward to 2015 kind of what is your outlook on that? And do you think you can get you know further penetration of your own proprietary offerings?
Gord Nelson: Hi Rob, it’s Gord. And you know we’ve been able to do you know continue to grow our concession revenue per patron at you know amounts, you know significantly above kind of CPI. And as we mentioned for the fourth quarter, you know yes the Empire had an impact. But visitation and basket size are also key contributors to the overall impact of, on our overall CPP. And some of those are impacted by promotional strategies, you know some of our expertise in digital signage and some of the additional rollouts that we're doing with respect to that, as well as expanded product offerings and VIP. So we're continuing to see opportunities for growth in CPP going on throughout 2015 also.
Operator: Your next question will come from Haran Posner with RBC Capital Markets. Please go ahead.
Haran Posner: A few questions for me. First maybe for Gord and going back to your Rec Room announcements a couple weeks ago, I am just wondering with respect to sort of pre-opening costs, you're going to open your first facility later this year. I'm just curious, you know you guided us to CapEx of CAD$6 million to CAD$10 million per location. But just ahead of opening the first location, how should we think about operating costs?
Gord Nelson: You know, well I think what you are going to see is obviously, you know we identified you know an amount I guess in 2014’s results where we were exploring kind of new opportunities and initiatives. I believe that amount was around CAD$1.2 million or so. So I would expect that you may see something in that kind of magnitude again in 2015 in advance of the opening of the first location.
Haran Posner: And is that sort of a fair amount per location, Gord or --?
Gord Nelson: No, I would say that’s kind of just in terms of you know getting the concepts further refined in advance of opening.
Haran Posner: Maybe one for Ellis. Usually you decide on the dividend with Q1, just wondering with respect to any kind of preliminary thoughts on that, just given that obviously CapEx will stay elevated for 2015?
Ellis Jacob: We haven’t made any decisions on that and you’ll have to await the next meeting.
Haran Posner: And then just maybe a last one, Ellis for you. I think I asked on the last quarterly call on Netflix and their entry into the movie business, and I guess this quarter we had Amazon with a similar announcement. I think from their perspective, from what I read they're looking at a 4 to 8-week sort of theatrical release before going to Amazon Prime. I'm just curious, if you have any comments on that and whether you know 4 to 8 weeks is something that you would play along with from in your theatres?
Ellis Jacob: You know, we keep working with our distribution partners as to the windows and what makes you know the most economical sense for everybody in this business. And we’ll have to wait and see what the product is about and what the timing is. But you know, those kind of seem like very short windows from our perspective.
Operator: Thank you. Your next question will come from Jeff Logsdon with JBL Advisors. Please go ahead. [Operator Instructions]. Thank you. We’ll now take the question with Jeff Logsdon with JBL Advisors. Please go ahead.
Jeff Logsdon: Great quarter, sorry. I don't work for Verizon, but I'm glad you can hear me. Can you talk about any of the food service cost dynamics that may influence your margins year-over-year this year?
Gord Nelson: The only thing as we continue to rollout VIP and expand our offerings, I don't think it’s a surprise that the margins on those types of items are going to be a little bit well lower than the margins on the core products like popcorn and pop. So to the extent that you know we continue the VIP rollouts and you’ll see you know a slight impact on margins. But on a percentage basis, but as we've always said we're focused on the dollars per person, the retention.
Jeff Logsdon: And secondly, when does your current contract with Real D expire, and could we see any changes in your expenses related to 3-D product when that does expire?
Ellis Jacob: Jeff, I think it runs for about another year and a half, if I remember. And you know that's a staggered expiration with Real D, so at the moment I wouldn’t build into any cost savings in the model for you know the foreseeable future.
Operator: Thank you. We seem to have no further questions at this time. I’ll turn the call back over to management for any closing comments.
Ellis Jacob: Thanks everyone for joining us this morning. We look forward to you joining us for our first quarter of 2015 call on May, the 8th and seeing you at our Annual General Meeting which is May the 13th. And enjoy the movies this weekend. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.